Operator: Ladies and gentlemen, thank you for standing by, and welcome to the World Fuel Services Third Quarter 2021 Earnings Conference Call. My name is Andrew, and I will be coordinating the call this evening.  As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Glenn Klevitz, World Fuel's Vice President, Treasurer and Investor Relations. Mr. Klevitz, you may begin your conference.
Glenn Klevitz: Thank you, Andrew. Good evening, everyone, and welcome to the World Fuel Services third quarter 2021 earnings conference call. I'm Glenn Klevitz, and I'll be doing the introductions on this evening's call alongside our live slide presentation. This call is also available via webcast. To access this webcast or future webcasts, please visit the World Fuel Services website and click on the webcast icon. With us on the call today are Michael Kasbar, Chairman and Chief Executive Officer; and Ira Birns, Executive Vice President and Chief Financial Officer. By now, you should have all received a copy of our earnings release. If not, you can access the release on our website. Before we get started, I'd like to review World Fuel's safe harbor statement. Certain statements made today, including comments about World Fuel's expectations regarding future plans and performance are forward-looking statements that are subject to a range of uncertainties and risks that could cause World Fuel's actual results to materially differ from the forward-looking information. A description of the risk factors that could cause results to materially differ from these projections can be found in World Fuel's most recent Form 10-K and other reports filed with the Securities and Exchange Commission. World fuel assumes no obligation to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. This presentation also includes certain non-GAAP financial measures as defined in Regulation G. A reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures is included in World Fuel's press release and can be found on its website. We will begin with several minutes of prepared remarks, which will then be followed by a question-and-answer period. As with prior conference calls, we ask that members of the media and individual private investors on the line participate in listen-only mode. At this time, I would like to introduce our Chairman and Chief Executive Officer, Michael Kasbar.
Michael Kasbar: Thank you, Glenn. And good evening to everyone listening on the phone and on the webcast. I hope that you are all doing well, while continuing to stay safe and healthy. We obviously have some very exciting news to talk about this evening regarding the definitive agreement to acquire the Flyers Energy Group that we just announced, which Ira and I will cover after Ira's financial review.  Flyers is an ideal addition to our U.S. land business, and will significantly contribute to the scale and density of our commercial and industrial platform in the U.S. More about this exciting news later.  Overall, our business performed well in the third quarter, as we witnessed some encouraging trends primarily in our aviation segment, where commercial passenger activity continued to increase both domestically with activity climbing to more than 80% of its pre pandemic levels. And internationally, we're easing travel restrictions have led to increased activity in Europe and Asia. We continue to make strides in expanding our aviation service network and comprehensive offering.  In Marine, market conditions remain challenging in the third quarter compounded by the fact that we did not have the benefit from certain seasonal business we have generated in prior years. However, we've begun seeing improvement in certain markets such as the cruise sector, where activity continues to recover with more ships sailing monthly.  We also recently concluded a term LNG bunkers supply agreement on the U.S. West Coast, demonstrating our ability to provide a broader range of energy solutions and cleaner marine fuels. And lastly, we are continuing to build a stronger foundation in our land segment by remaining laser focused on enhancing our core product and service offerings and meeting the evolving demands of our customers throughout the world. Including recently developing a multiyear carbon offset program for a large cruise operator, facilitated by World Kinect our gas power and sustainability business.  In addition to continuing to invest in the commercial and industrial ground fuels market in North America, our inorganic focus will also include World Kinect activities to help our growing global base customer base effectively navigate the energy transition.  I will now turn the call over to Ira for his financial review.
Ira Birns: Thank you, Mike. Before I walk through our third quarter results, please note that the following figures exclude the impact of non-operational items, netting only $1 million this quarter, which principally relate to acquisition, divestiture and restructuring related adjustments and expenses. These items are highlighted in our earnings release. Also comparisons to the third quarter of 2020 will exclude the operating results of multi-service that was sold at the end of last year's third quarter.  To assist you in reconciling results published earnings release. The breakdown of the non-operational items can be found on our website on the last slide of today's webcast.  Now let's continue with third quarter financial highlights. Adjusted third quarter net income and EPS were $23 million and $0.36 per share, respectively. Adjusted EBITDA for the third quarter was $63 million, and volume continue to improve across all of our business segments, as markets continue to recover. With third quarter consolidated volume up 9% sequentially and 23% year-over-year.  We generated positive cash flow from operations and $83 million during the third quarter, contributing to our net cash position of $282 million. This was our 14th consecutive quarter of positive operating cash flow, totaling approximately $1.4 billion over such period.  And now I'm going to get into our financial results in greater detail. So let's jump back to volume. Aviation segment volume was 1.7 billion gallons in the third quarter, an increase of 21% sequentially, consistent with the growth forecast provided on our second quarter call and an increase of 63% compared to the third quarter of 2020.  We experienced volume increases both sequentially and year-over-year in our commercial passenger and business in general aviation operations. The year-over-year volume increases resulted from the continuing recovery in air travel, and the sequential increase was driven by both the general economic recovery and traditional summer seasonality.  Volume in marine segments for the third quarter was 4.8 million metric tons, an increase of 4% sequentially and 9% year-over-year. We experienced increases in core resale activity during the third quarter in marine and although we may see some disruption from the supply chain bottlenecks at certain ports. Marine activity should benefit from the ongoing economic recovery, possibly higher fuel prices as well as we head into 2022.  Our land segment volume was 1.3 billion gallons or gallon equivalents during the third quarter. That's practically flat sequentially, but an increase of 4% year-over-year. The year-over-year volume increase spend across much of our North American retail and commercial industrial operations. And our Connect business continues to post solid year-over-year growth driven by an increasing demand for energy management and sustainability offerings.  Consolidated volume for the third quarter it was 4.2 billion gallons or gallon equivalents, an increase of 9% sequentially and 23% year-over-year, driven by the significant rebound in aviation activity. Consolidated gross profit for the third quarter was $197 million, an increase of 7% sequentially, and 3% year-over-year.  Our aviation segment contributed $113 million in gross profit in the third quarter. That's up 28% sequentially and 19% year-over-year. As previously noted, the year-over-year increase in gross profit generally related to the continued rebound in core activity, partially offset by the reduction in government related activity in Afghanistan, where as you already know all activity sees a part of the final troop withdrawal during the third quarter.  Our team in Afghanistan did an amazing job over the past 10 years. All of our employees made it out of the region safely. And we will be forever grateful for their dedication and valuable contribution to our business. Most particularly Derek McRobbie and his team who stuck it out until the very end, supporting the evacuation missions on the ground at Kabul airport.  As we look ahead to the fourth quarter, we expect aviation gross profit to decrease sequentially, principally driven by the traditional seasonal decline in activity and the conclusion of activity in Afghanistan. However, we expect continued increases in both volume and gross profit on a year-over-year basis.  The Marine segment generated third quarter gross profit of $22 million, down 4% sequentially in 31% year-over-year. Despite the year over year increase in volume in marine, gross profit declined as a result of lower margins in our core business driven by continued competitive market pressure, and the loss of some seasonal business we had benefited from in the past. As we look ahead to the fourth quarter, we expect marine gross profit to modestly increase both sequentially and year-over-year, driven by some signs of improving marketing conditions in our core business.  Our land segment delivered gross profit of $63 million in the third quarter, a seasonal decline of 15% sequentially, and a decline of 4% year-over-year when excluding multi-service from last year's results. We experienced the year-over-year decline in gross profits from our core commercial and industrial business activity in North America, driven principally by current supply chain disruptions, which had temporarily eroded margins due to increased transportation costs. We also experienced a year-over-year decline from government related activity again, as a result of the conclusion of activity in Afghanistan. These declines were offset by increases in the North American retail business and power activity in Europe, where related markets have been strengthening.  Looking ahead to the fourth quarter, we anticipate land gross profit will increase principally related to seasonal activity in the UK. Core operating expenses, which exclude bad debt expense were $153 million in the third quarter. Looking ahead to the fourth quarter, we expect core operating expenses, excluding bad debt expense to be in the range of $156 million to $160 million. After experiencing elevated losses during the front end of the pandemic, we continue to manage our broad portfolio of receivables exceptionally well, with bad debt expense near zero in the third quarter.  Again, adjusted EBITDA was $63 million in the third quarter, that's up 6% sequentially, but down slightly compared to last year's third quarter. Interest expense in that third quarter was $10 million, which is effectively flat year-over-year and fourth quarter interest expense should be about the same in the range of $10 million to $11 million. And our adjusted effective tax rate for the third quarter was just under 31%. And we expect the fourth quarter effective tax rate to be about the same.  Despite rising prices and volume, we generated $83 million of operating cash flow during the third quarter, our 14th consecutive quarter of positive operating cash flow. This further strengthen our balance sheet, resulting in a net cash position of $282 million at quarter end, and a total cash position of nearly $800 million. We also repurchase 750,000 shares of our common stock during the quarter, demonstrating our continued commitment to drive additional shareholder value through both buybacks and dividends.  Before we move on to discussion of the Flyers Energy acquisition, let's sum up the quarter. Aviation's continuing recovery contributed to a strong quarter, and we see continued growth opportunities across all three of our business segments as the economic recovery continues. We generated strong operating cash flow in a sharply rising price environment, contributing to landing cash position of nearly $800 million. Setting us up well for the Flyers acquisition, but also for the additional growth opportunities ahead.  The world around us is changing rapidly and we're excited about organic and inorganic growth opportunities that will support our customers evolving needs throughout the world.  And now I'm going to turn the call back to Mike to introduce the Flyers acquisition discussion.
Michael Kasbar: Thanks, Ira. As we've been repeating for some time now, we've been sharpening our portfolio of business activity, strategically shedding non-core activities. And we indicated that we were focused on investing in and growing our core commercial and industrial land business in North America, as well as our increasingly relevant natural gas power and sustainability platform.  With today's announcement of the signing of a definitive agreement to acquire Flyers Energy, we are taking a very significant step in this direction. This acquisition will add significant scale and density to our North American land platform. We’re very excited about it. And we think that it's a watershed turning point for the company that will position us for growth for many years to come.  Ira will now review the transaction in greater detail.
Ira Birns : Thanks again, Mike. As outlined in our press release on the acquisition, the purchase price for the acquisition will be approximately $775 million, of which $675 million will be paid at closing in cash, although up to $50 million of such amount could be paid in equity at our option. The remaining $100 million will be paid in two equal $15 million dollar installments upon the first and second anniversaries of closing.  The cash portion of the upfront purchase price will principally be paid with cash on hand. Again, we had $796 million of cash at the end of September, with the remainder to be drawn under our revolving credit facility. The transaction is expected to be significantly accretive to margins, earnings per share and cash flow and is expected to close within 60 to 90 days, subject to customary closing conditions, including regulatory approval.  Flyers, which has been very successfully operated by the Dwelle family for decades, is based in Auburn, California, and distributes diesel, renewable fuels, lubricants and gasoline to more than 12,000 small to medium sized commercial and industrial and retail customers, spanning 20 states. Estimated volume for 2021 is 850 million gallons, with forecasted 2021 revenue and gross profit of $2.4 billion and $135 million, respectively. We really look forward to welcoming the talented and experienced Flyers team to World Fuel. There are a great bunch of people.  Flyers as a national fleet fueling network consisting of approximately 200 cardlock sites, which are operated by Flyers and an additional 200 third-party sites, which are part of their national network. Cardlocks are effectively unmanned fuel sites serving commercial trucking fleets, providing 24-hour access 365 days per year.  Flyers operates a stable and ratable low cost business model with a loyal and growing commercial customer base. While their cardlock operation is clearly their largest segment, Flyers also operates a small retail distribution business, which will expand the World Fuel network to more than 2000 retail locations nationwide. And they also operate a wholesale diesel and lubricants business.  As we have stated repeatedly over time, we have been strategically focused on sharpening our portfolio of activities on our land segment. Just two years ago, before the pandemic began, our land segment was fragmented, without significant upscale in our core activities. That being our North American commercial, industrial and retail activity, and our growing gas power and sustainability activities. These combined business activities represented less than 50% of total land gross profit back in 2019, before the start of the pandemic.  If you fast forward to our new run rate upon closing this transaction, these core activities will represent more than 80% of land gross profit, and the overall land business will represent a greater percentage of our global franchise driving greater scale, synergies and operating leverage. The transaction will also expand our North American platform to more than 30,000 commercial and industrial customers, customers to whom we can support with options to purchase lower carbon renewable fuels, Flyers already distributes renewable diesel at several cardlock locations, and we will look to continue growing renewable fuels distribution across our combined networks.  Speaking of our combined networks, this transaction will provide our North American land business with a national platform, which significantly improves scale, we will be significantly expanding our cardlock network, which is a low cost operating model driving above average returns accretive to our overall returns in our land business. The transaction will provide reasonable density in California, Arizona and Nevada, and will strengthen our density in the Rockies and Midwest. The transaction also brings us a truly best-in-class management team poised to join with us to drive further growth and significantly enhance our land segments shareholder value contribution. Again Flyers is a stable, ratable and growing business, with a low risk portfolio of customers and a seasoned management team with significant industry experience, which will strengthen and expand our North American land platform. The transaction will also heighten our opportunity to participate in the growing low carbon renewables market. We also believe that there remains a strong pipeline of additional investment opportunities, which can drive even further growth in operating efficiencies down the road.  Flyers will also improve the overall tax efficiency of our company by adding substantial U.S. profitability to our consolidated results. And this strategic transaction will also drive a step change in the ratability of our global business, making our results easier to understand and forecast. This is especially true in our land business, which we know has always been the easiest to understand. Now there will be fewer moving parts more ratability and improving margins, contributing significantly to earnings per share and cash flow. A very exciting and important step forward in our longer term growth journey.  While this will indeed be the largest acquisition in the history of our company, the substantial cash flow we have generated over the past three to four years, combined with the cash generated from the sale of multi-service last year, allows us to complete this transaction largely with cash on hand, leaving us with a strong and liquid balance sheet post acquisition to support organic growth, as well as further investments in core business activities, principally our North American land and global gas power and sustainability business, providing a more exciting experience for our global team of nearly 5000 professionals, and driving greater value to our shareholders.  Thank you, we’ll now turn the call over to Andrew, our operator to open up to questions and answers. Thanks again.
Operator: . And our first question comes from the line of Ben Nolan with Stifel.
Ben Nolan: Yes, thanks. I'll do my three and then I'll turn it over to Ken and I'll probably be back in for more so. But…
Ira Birns: Ben, you could go beyond three. Feel free on that. Participants joining us, so yes, whatever you think is relevant, and we'd be happy to answer that.
Ben Nolan: Okay. All right. Fair enough. Thanks, Ira. So we'll start with this acquisition, obviously, big deal for you guys. The $135 million of gross profit, it looks like a pretty good multiple relative to the $775 million acquisition price. I am curious how much of that we should think falls to the bottom line of that $135 million? What's the sort of the -- how are you thinking about the net effect of relative to maybe sort of how we normally think of the net spread for World Fuel?
Ira Birns: Sure. So you're looking for EPS or EBITDA, or both?
Ben Nolan: I'm not going to say no to anything, Ira.
Ira Birns: You're our first customer today, we’ll certainly will. So look, as I mentioned earlier, we expect this transaction to be significantly accretive to earnings, I would say that translates to at least $0.55 to $0.65 of accretion in the first 12 months, which by the way, includes a fairly healthy dose of amortization related to the deal, as well as depreciation. And I believe the accretion should grow 15% to 20% easily beyond that, in year two. I say at least because I think we have a solid shot at outperforming that.  EBITDA is somewhere in the range of $85 million or so, should be a little bit more in 2022. The first year cash on cash return should be close to 10%, possibly a little higher. So they've got -- Flyers is a very strong cash flow profile, so that'll contribute handsomely to what’s been a pretty strong profile on the World Fuel side, that's one thing we've done very well. And it should be even accretive to our return on invested capital, which has been a bit subpar recently. So it should help improve that as well, going into next year. So I think of that. 
Ben Nolan: Okay, that’s good, perfect. Just to drill down a little bit on that, if I could. When thinking about that, that accretion EBITDA well, specifically net income, I suppose and EBITDA. How much in the way of synergies are you sort of baking into that? And then also, you mentioned that this should help your tax position. So is there -- how much of the accretion is any, that you're talking about here is a function of sort of a lower tax base?
Ira Birns: Great question. But very smart, the second question as well. So, I'll start with that. One of the issues we've had this driven our tax rate up for the past few years under tax reform is, is the fact that we haven't really been big income generator in the United States. And with all the impacts of that change in tax law, you may remember you've been with us long enough that then our rate was used to be in the teens and went up to the mid-30s. And now, this quarter was $31.  So the amount of additional income that we're going to be achieving in the U.S. here is so significant that on top of what would be the core tax rate for U.S. profitability, let's put this way there’s a couple, maybe $2 million $3 million of positive impact to our global effective tax rate, which is a very high level estimate. So say, maybe $0.03 $0.04 a share of the accretion relates to that.  In terms of synergies going to your first question. Look, Flyers, operates their business very well, I've done diligence on 100 plus companies in my life. And they're all different. They operate today on industry standard software, their CEO used to be the CFO, I think that's always a good progression, and knows his numbers really well. So it was pretty impressive to see how well organized those guys are.  So we're not making any rash changes initially, they're going to continue operating on their platform, which means we were very conservative, on synergy assumptions in the early innings, a little bit of cost savings, some benefit from putting our teams together, they buy better than us, and on the West Coast, we buy better than them in the eastern half of the country. And that should drive some synergies on the supply side. But literally, there's only a few million dollars of synergies built into our 2020 forecast and the impact of that on accretion is just maybe $0.02, $0.03 a share.
Ben Nolan: Okay, perfect. 
Michael Kasbar: I think the only thing I want to add to it, perhaps it's obvious, but maybe not, but really the importance of scale and density and national coverage. So, that we know from, certainly our other businesses both the focus and the presence is critical. So we are sharpening our focus, it's probably the most powerful word in business is the ability to focus then, of course, being able to execute.  And we've got with this addition, the combination, it's really a perfect fit. So we're really excited about it, in terms of the addition to the management team. And today, of course, you have a lot going on in the world, you've got supply chain disruptions, you've had freight issues, driver labor issues. So resiliency of supply, is a critical issue, from some of the CEOs that I talked with, they basically said, listen, I'm spending more time thinking about energy than I really ever intended.  So, the addition of the distribution assets of the workforce, of the footprint, our ability now to be able to pull from various different locations, the localization, the regionalization. And our ability to distribute and respond to outages gives us tremendous resiliency. So, and that's really the business we're in. I mean, honestly, we're agnostic to the molecule or the electron.  Really, our capability is the ability to distribute underwrite, someone's got to buy it, someone's got to sell it, you've got to deal with the operational side of it, the quality control. So getting a larger customer base, all of them need to understand what their lower carbon zero carbon and actually negative carbon journey is. And we do that with our World Kinect business in terms of you know, baselining, on emissions, reducing consumptions, giving them procurement, advisory, buying better, buying less, deploying renewables and the renewables are coming from everywhere.  And then of course, dealing with offsets with whatever is left overs. So we're really excited about the synergy side of it. It's been a long time coming and I have to give Ira a lot of credit for it. He pulled this five iron out and 200 yards on a par three and a 10-foot putt so he may get a birdie on it, but I don't know do you golf Ira.
Ira Birns: I’m going to start golfing now if those steps are going to be that impressive. What else can we help you with Mr. Nolan?
Ben Nolan: Alright. Actually related to what you were just talking about there, Mike. We are certainly are seeing labor shortages everywhere. That you look, people are talking about driver shortages. You mentioned sort of it was one of the challenges in your land business was supply chain bottlenecks. I'm curious, especially, we don't know how long this is going to last. But as you're looking out into the fourth quarter and into next year, how, how big of a challenge is that? Are you struggling to find labor and connecting the dots for your own network? And it's already a relatively low margin business, how should we think about the potential for inflation?
Michael Kasbar: Was there certainly inflationary pressures. The ECB today was pretty aggressive in terms of them being temporary and working their way through the system. We believe that will be true that it will work its way through the system. We've been fortunate, our team has done a phenomenal job or physical operations team and our talent teams collectively, have really done a good job and responded to what was really an emergency. So it's giving drivers a career, not a job. They are the face of the company. So they are a critical part of our business. And I think that we're in far better shape now and certainly, with the Flyers Group, I think scale matters. But to answer your question, have an impact, it will probably spill over into Q4. I personally believe that it will work its way through the system and sort of become part of COGs. But perhaps we should regain our margin at some point. I know that Ira would like to make a comment.
Ira Birns: Yes, just sorry about talking today. Yes, and that probably cost us another couple million or so which affected lands results in the third quarter. I think our team has done a great job on managing that they believe that it's going to get better. So the impact should be lower in Q4. We're at 95% of driver capacity today. So we've had to pay a bit more, but we got the guys on the road doing their jobs. So it had a bit of an impact in Q3. But I think we're managing through that well, and that impact should be smaller in Q4 than it was in Q3.
Ben Nolan: Okay, perfect. And, and then lastly, for me, and I'll turn it over, but, I appreciate this is five questions, but thanks for that. They're obviously another area of chaos at the moment is energy prices in general, but with huge differentials in different places around the world, especially for things like natural gas, but in all sorts of categories. From time to time, that can either be a tailwind or a headwind for you guys. I'm just curious how we should think about sort of all of the wild swings that we're seeing in energy prices and how we should think about the impact on World Fuel as a function of that.
Ira Birns: So, a good question. If you look at our company, we came through what was the ultimate stress test of the pandemic, we sell jet fuel to airlines and cruise companies and billions of dollars of receivables, crazy upside down hedges and our team performed brilliantly. And number one job predicts the balance sheet, we came out of it with a stronger balance sheet. So our financial team, our risk team has really the culture of the organization is such that failure is not an option.  So when you look at those stresses, and you have the polar vortex you had gas prices in Europe, our team performs. We respond to it, we sort of thrive on it, to be honest with you. So, at the end of the day, we are essentially a risk management business and we're managing risk for our clients. And that's what we do. So as demand decompresses, and you've had supply disruption, or basically supply building shut in, you are getting a mismatch that will straighten itself out. It's an opportunity for us to help smooth those issues out for our clients, and we get paid to do that. So sometimes, we pay a price for it, but generally speaking, that's part of our value add. So it's not a bad thing for our business model. So I don't know if that gives you enough color.
Ben Nolan: No, that’s helpful. And I appreciate it was sort of not a binary question right. It's certainly more ethereal. But it doesn't sound like it's a problem I'm very least.
Michael Kasbar: And Ben one last thing on that, you look at Q3 prices are up pretty significantly, and we still generated $83 million of operating cash flow. So I think we actually -- I think we've always done a good job there. But we learned a lot in these types of environments, and we found better and better ways or more significant ways to impact that particular metric in a rising price environment by just being smart, or smarter. It may not always be possible to do that, but we've, we've impressed ourselves in many cases to be able to manage working capital, so well, so that in a sharply rising environment, we weren't using any cash. So that's just another piece of the puzzle that that we're always focused on.
Ben Nolan: Sure. So I have actually, two more questions that it's okay. So when going back to the tax question, I hate to go backwards. But on a go forward basis, do you have any -- including the acquisition, do you have any color as to sort of where you believe the tax rates should be on a consolidated basis?
Michael Kasbar: Yes, look, every statement I make on that one's that being proven wrong, because there's so many moving parts. But I think we've done a good job to get ourselves last couple quarters back down in the 30 neighborhood, when we were exceeding that fairly regularly for a while. I think that's a reasonably fair pre-acquisition assumption for next year. Again, no promises, because there's, again, a lot of work left to do to figure out where we stand, what we're trying to manage through the whole global tax structure as efficiently as possible.  This certainly helps meaning the Flyers acquisition. So I would say, you know, 30 would be a fair number, but the Flyers acquisition has an opportunity for us to drop back down into the -- take us back down into the high 20s, say, 28 or so. So if I was going to give you a number now, for next year with Flyers, I would say, you know, somewhere between 28 and 30.
Ben Nolan: Perfect. So honestly last question for me. So if I look over at 5.15, it's the nice map of the consolidated operational footprint in the United States, and you'd mentioned in the prepared remarks that this was an acquisition that you believe that you can grow and I think you said both organically and inorganically.  But I was hoping that you might be able to frame that in first of all, just in terms of organic growth opportunities, are there a lot of places on the map where they're just critically underserved, and you can come in and put something in? Or is this really more about, okay, a lot of mom and pops out there that could sort of be rolled into the network? 
Michael Kasbar: So it’s really -- this is really a beautiful business in so many different ways. The combined network with our Tacoma operation, and the Flyers Group together, it's over 500 locations that we're marketing to within our network. So there's certainly tuck-ins and we're intending to focus on that -- consistent with their focus on the U.S. C&I business. But beyond that it is a fuel card, and there's nothing stopping us really from marketing. The service to local fleets, small and medium sized local fleets throughout the country.  And the fact that we now have a bigger footprint, and it fits like a glove within our existing footprint. It gives us great capability to grow organically, which we've been doing from the Northwest, as well as through acquisitions. We also pick up four locations in Florida. So we're excited about it. I think before I'm going to just skip over if you don't mind to our retail business touched on it. From our retail some 100 sites, certainly the tank wagon, the full truck and the wholesale and the lubricants business.  Now all of these are core businesses. So that is the beauty of this addition to our company is that it is a perfect fit into our core activities. It gives us location in various parts of the market, it has scale, we have density, hub and spoke. So, the positive attributes to this really significant, it's really a perfect fit. But that cardlock business, as Ira has commented on is a great retail, it's an end user model, a lot of convenience, they're low cost, so a lot of positive attributes to it.
Ira Birns: Yes, the only thing I'd add to that, Ben, in terms of our continuing ability to grow there, there are 5000 cardlocks so in the country, and a lot of them are in this very fragmented, 5.10, Flyers has done a very good job over time, finding those opportunities, and now joining with them, I think we'll have continued to have a good opportunity to do that. There's 3000 distributors around the country.  Obviously, most of them smaller than we are, beyond the cardlock, there's still a lot of opportunities. And we'll be very careful about finding the ones that make sense in terms of the footprint that will have effective the first quarter of 2022. And there'll certainly be synergy opportunities going forward. And, we’ll obviously be talking about that in the future.
Ben Nolan: All right. Sounds good. I will  finally.
Ira Birns: You got  
Ben Nolan: I'm good, I’m burned out. Thanks, guys.
Operator: Thank you, Mr. Kasbar, there are no further questions at this time. 
Michael Kasbar: Thank you. Thank you very much. Well, listen, I just want to thank everybody for joining us today. As you can tell, we're pretty excited. It's an exciting time for World Fuel for World Kinect, want to welcome the Flyers Group, I hope you're listening, and look forward to meeting you all, and welcoming you to the company, we feel really good about where we are, we feel really good about where the company is. We've got a network that's virtually impossible to replicate a global network. Our commercial, general and business aviation network is just incredible. Our global marine business has got a position we're following in the footprints of aviation, in terms of our physical capability and service offering.  Our energy management gas power and sustainability business is growing, step by step. This isn't something that we just did yesterday, because we invested in sustainable aviation fuel 10 years ago, we're one of the few companies that have source of that, and we’ll continue to invest in it. Hydrogen, we're agnostic, as I said previously, in terms of the logistics side of it. On the power side, we're either acting as a broker a merchant for 10,000 gigawatts of power, 185,000. MMBtu of natural gas. So this is a company that's on the move. This is a company that is extremely well positioned for where the market is going, the trend is our friend. But we believed in this from the beginning, and it was always following the marketplace.  So, listen, I got a degree in environmental science in 1977. So greenhouse gases is what the heck I studied then. I thought solar power was great. I was just 40 years too early. But any case, we're here, it's happening. We're excited about it, we're going to participate in it fully. We've been patient but I think the time is now for us. So we're excited. Appreciate the support of our investors and certainly appreciate the passion of all the world fuelers and welcome to the Flyers Energy Group. Thanks, everybody for listening. 
Ira Birns: Thanks
Operator: Ladies and gentlemen that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. 